Operator: Ladies and gentlemen, welcome to the Nuvo Pharmaceuticals Annual Meeting. Your speaker for today will be Executive Chairman, Rob Harris. Rob, the floor is yours.
Rob Harris: Good morning, ladies and gentlemen. Welcome to the 2020 Annual and Special Meeting of Shareholders of Nuvo Pharmaceuticals Inc. This meeting will be held in a virtual-only format due to the continuing public health impact of the COVID-19 pandemic and to prioritize the health and safety of the media participants and safety of the company's employees and shareholders. My name is Rob Harris. I'm the Executive Chairman of Nuvo, and in accordance with the bylaws of Nuvo, I will chair the meeting today. With the consent of the meeting, I will ask Tina Loucaides, the Vice President, Secretary and General Counsel of Nuvo, to act as a Secretary of the meeting and Jeri Trotter and Joanne Dibenedetto of Broadridge Financial Solutions to act as the Scrutineers. If you are a registered shareholder or a validly appointed proxy holder, you asked -- you are able to ask questions during the meeting using the online platform. Please submit your questions in the ask-a-question text box indicated on the web portal. Questions directly related to the formal business of the meeting will be addressed before the voting begins, and all other questions will be addressed in the Q&A session following the management presentation. I have received an affidavit from a representative of Broadridge Financial Solutions confirming the proper mailing to shareholders of the notice of the meeting, the management information circular in the form of proxy for the meeting. A copy of these materials, together with the affidavit will be kept by the Secretary with the records of this meeting. I've reviewed the Scrutineers' preliminary report on attendance, which indicates that a quorum is present, and I therefore, declare the meeting to be properly constituted for the transaction of business. The Scrutineer's final report on attendance will be provided to the Secretary of the meeting and will be kept with the records of this meeting. The formal business of the meeting will consist of considering the matters set forth in the management information circular. In order to deal with the business of the meeting in an orderly manner, each of the motions will be moved and seconded, and then the voting will take place. Each common share represented at this meeting will be entitled to one vote. Voting on all matters will be conducted by pressing the vote here button on the online web portal. I have asked certain shareholders of Nuvo to move and second a motion to approve each matter. Okay. The first item of business is the presentation of the consolidated financial statements for the corporation and its subsidiaries as at and for the financial year ending December 31, 2019, and the auditor's report thereon. A copy of the annual report containing these financial statements was mailed to shareholders that requested such materials, a copy of the annual report is also available on SEDAR at www.sedar.com under the company's profile and on the company's website. Our next item of business is the election of the directors of the corporation as set out in the management information circular. Management is nominating the following five directors, Dan Chicoine, David Copeland, Anthony Dobranowski, John London and myself, Rob Harris. The election of the Board of Directors will be conducted on an individual basis. On October 30, 2013, and as amended on March 28, 2018, the Board of Directors adopted an advanced notice bylaw, which requires that advanced notice be provided of any individual to be nominated for election as a director at this meeting. Apart from the directors listed in the management information circular, no additional individual has been or at this point, can be nominated for election. As required by the rules of the Toronto Stock Exchange, the corporation has adopted a majority voting policy relating to the election of directors. Details regarding this policy are provided in the management information circular. Under the policy, a director is required to tender his resignation if he receives more withhold votes than cast for his election. Based on the proxies received, if elected, none of the nominees would have to tender their resignation under this policy. I will now ask Mary Aprile for a motion with respect to the election of the directors of the corporation.
Mary Aprile: I nominate Dan Chicoine, David Copeland, Anthony Dobranowski, Robert Harris and John London as Directors of the corporation to hold office until the next Annual Meeting of shareholders until their successors are duly elected or appointed or they otherwise cease to hold office.
Rob Harris: Thank you, Mary. Tina, would you please second the motion?
Tina Loucaides: I second the motion.
Rob Harris: Great. Thanks, Tina. The next matter to be dealt with is the appointment of the auditors and the authorization of the directors to fix their remuneration. I will now ask Mary for a motion with respect to the appointment of the auditors.
Mary Aprile: I move that Ernst & Young LLP chartered accountants be reappointed as auditors of the corporation to hold office until the next annual meeting of shareholders or until a successor is appointed and that the directors be authorized to fix their remuneration.
Rob Harris: Great. Mary, thank you. Tina Loucaides, would you please second the motion?
Tina Loucaides: I second the motion.
Rob Harris: Great. Thank you. The next resolution is an ordinary resolution, approving the corporation's third amended and restated share incentive plan without variation as described in the circular. The full text of this resolution is set out as Schedule A to the circular. In order to be carried, this resolution must be approved by the majority of votes cast by shareholders or their proxy holders, other than any votes cast by insiders of Nuvo. I will now ask Mary Aprile for a motion to approve this resolution.
Mary Aprile: I move that the resolution set out in Schedule A to the management information circular be approved.
Rob Harris: Thank you. Tina Loucaides, would you please second that motion?
Tina Loucaides: I second that motion.
Rob Harris: Thank you. We will pause for a moment to see if there are any questions directly related to the resolutions. As a reminder, there will be an opportunity to ask questions not directly related to these resolutions during the management presentation that will immediately follow the formal portion of this meeting. So we'll pause for a minute and see if there are any questions that come -- that came in. Okay. It is now time to vote. The voting polls are open for those registered shareholders or proxy holders, who have not already voted by proxy. And voting will be conducted by an online ballot. Any registered shareholder or proxy holder who hasn't yet voted or wishes to change their vote, may do so by checking on the vote here button on the web portal and following the instructions there. Shareholders who have sent in their proxies or voted via telephone or internet and do not want to change their vote do not need to take any further action. We will pause for a moment to allow for voting. Okay. Now that everyone has had an opportunity to vote, I declare that the voting is now closed. The Scrutineers have provided me with a preliminary report on the voting for each of the matters considered at this meeting. The Scrutineers will reconcile the results and provide an official report of the results tomorrow. Tina Loucaides will now report on the preliminary results of the votes.
Tina Loucaides: Thank you. The preliminary voting report for the election of directors provided by the Scrutineers provides that a majority of the total votes cast were voted in favor of each of the five proposed nominees, as set out in the management information circular, with Daniel Chicoine receiving 90.47% cast for and 9.53% withheld of the total votes cast, David Copeland receiving 95.89% cast for and 4.11% withheld of the total votes cast, Anthony Dobranowski receiving 95.97% cast for and 4.03% was held of the total votes cast and Robert Harris receiving 93.33% cast for and 6.67% withheld of the total votes cast and John London receiving 90.42%, cast for and 9.58% withheld of the total votes cast.
Rob Harris: Thanks, Tina. Will you now report the result of the vote with respect to the appointment of auditors?
Tina Loucaides: The preliminary voting report for the appointment of auditors provided by the Scrutineers, provides that a majority of the total votes cast were voted in favor of the appointment of Ernst & Young LLP with 99.23% cast for and 0.77% withheld.
Rob Harris: Okay. Thank you, Tina. Tina will now report on the result of the vote with respect to the ordinary resolution approving the corporation's, third amended and restated share incentive plan without variation, as described in the circular.
Tina Loucaides: The preliminary voting report with respect to the ordinary resolution, approving the corporation's third amended and restated share incentive plan. And all unallocated options and unallocated common shares issuable, there under, provides that a majority of the total votes cast were voted in favor of the approval, with the ordinary resolution receiving, 81.67% for and 18.33% against of the total votes cast.
Rob Harris: Okay. Thank you, Tina. Once the voter reconciled, the Scrutineer's final report, on the voting will be provided to the secretary of the meeting. And will be kept with the records of the meeting. This concludes the formal business of the meeting. If there are no, further business, I would ask Mary Aprile, for a motion concluding the formal part of this meeting.
Mary Aprile: I move that the formal part of the meeting be concluded.
Rob Harris: Thank you. Tina, would you please, second that motion?
Tina Loucaides: I second the motion.
Rob Harris: I declare that the formal part of this meeting is now concluded. Before turning this over to Jesse, and Kelly, I would like to extend thanks on behalf of the Board of Directors to all of the employees, many of whom are listening to this call, who have done a remarkable job keeping the business moving forward during these trying times. With that, I will turn this over to Jesse Ledger, President and CEO of Nuvo, who will provide an update on the business, particularly with regards to Q1. Jesse?
Jesse Ledger: Thanks, Rob. Before we begin, I'd like to remind everyone that some of the statements made during this presentation, may be considered forward-looking. The corporation cautions investors, that results of future operations may differ from those anticipated. We urge you to review the cautionary statements. And other information contained in the corporation's filings on SEDAR, including our annual information form for fiscal 2019, which identifies certain factors that could cause actual results to differ materially, from those projected in any forward-looking statements, made during the meeting. Copies of the annual information form and other filings are available online. When we turn the calendar to 2020, we would never have anticipated the unprecedented times we are currently experiencing, due to the COVID-19 pandemic. Fortunately, Nuvo operates an essential business as defined by both the Ontario and Qubec governments. As such, we have made changes to our operations to ensure our employees are safe and healthy, while our business continues to operate including, supplying global partners, wholesalers, pharmacies and, ultimately, patients, with our health care products. COVID-19 has presented challenges for businesses worldwide. And I'm proud of how Nuvo's employees have tackled these challenges and made adjustments, in a stressful and fluid environment. Furthermore, I would like to thank everyone on the front lines of this battle, the doctors, nurses, custodial workers and hospital support staff, as well as truck drivers, food service employees, paramedics, police and fire personnel, delivery and e-commerce personnel and all others risking their health, to help others. These individuals help keep the rest of us safe and to keep the economy moving. 2019 was a transformative year for Nuvo. With the closing of the Aralez transaction at the end of 2018, we've successfully integrated the Aralez business with Nuvo during 2019. And additional business segments and revenue streams we acquired resulted in significant year-over-year increases, in adjusted total revenue and adjusted EBITDA. We are well-positioned to acquire and launch additional commercial products, in Canada and abroad in the coming years. We also advanced our product pipeline, with a number of regulatory submissions during 2019. And we anticipate Canadian and global commercial launches during 2020. 2019 resulted in the achievement of a number of important milestones for our business. Notably, in Q2, we submitted a marketing authorization application for Pennsaid 2% to the Austrian authorities and submitted the marketing authorization application for Suvexx to Health Canada. We also identified significant synergies and restructuring savings to our operating expenses following the U.S. Federal Court's decision to invalidate two of our patents protecting Vimovo in the United States. Q3 saw the approval of Pennsaid 2% in India, marking Nuvo's first marketing authorization for Pennsaid 2% in an Asian market. In Q4, the U.S. Court of Appeals upheld the validity of the 917 patent protecting the Pennsaid 2% business in the United States through to October 2027. Year-to-date in 2020, we've continued to execute on our debt repayment plans with the early repayment of our US$6 million bridge loan to Deerfield as well as the repayment of an additional US$5.2 million towards our amortization loan. We also closed an in-licensing transaction to introduce new line extensions to our NeoVisc business in Canada. We obtained approval for Pennsaid 2% in Switzerland. Suvexx was granted a notice of compliance from Health Canada in February. And finally, Takeda's Cabpirin a, drug that relies on our Yosprala IP was approved in Japan triggering a US$2 million milestone payment. We are required to pay 50% of the proceeds from the intellectual property of Yosprala to the estate of POZEN. In February 2019, we submitted our registration dossier to Health Canada for Suvexx, a prescription medication indicated for the acute treatment of migraine attacks with or without aura in adults. On February 27, 2020, Health Canada issued a notice of compliance or approval for Suvexx. That's just over a year after acquiring this asset in the Aralez transaction. We anticipate launching this innovative and clinically differentiated treatment for acute migraine in the approximately CAD 130 million acute migraine treatment market in the third quarter of this year. Suvexx has been successfully studied in 13 Phase III clinical trials covering patients suffering from acute migraine, menstrual migraine and patients intolerant of or non-responsive to other currently approved migraine medicines. We continue to advance our product pipeline towards commercialization. The Blexten license agreement, which was also acquired as part of the Aralez transaction, includes the Canadian rights for pediatric dosage formats. We anticipate filing the Blexten pediatric registration dossier to Health Canada during the second quarter of this year with a regulatory decision expected by mid-2021. Blexten pediatric is anticipated to be indicated for the treatment of seasonal allergic rhinitis and chronic spontaneous urticaria in children. We recently in-licensed line extensions for our NeoVisc business, which is part of our commercial product portfolio in Canada. NeoVisc is an injectable viscosupplement used to replenish the synovial fluid of the joints in patients with osteoarthritis. Our commercial team anticipates receiving Health Canada approval during Q2 of 2020 and launching these new line extensions shortly thereafter. The line extensions include a low-volume single injection presentation called NeoVisc One and a new triple injection presentation called NeoVisc Plus. Our key growth assets, Blexten and Cambia, have continued to perform as expected during the first quarter. Blexten's first quarter performance reflects the traditional seasonal decline in the oral antihistamine market at the beginning of the year, as the colder weather reduces seasonal allergens. However, Blexten demonstrated continued year-over-year growth of total prescriptions, or TRx, and TRx market share during the quarter. Blexten Q1 2020 TRx increased 54% over Q1 2019. Blexten Q1 2020 TRx market share increased to 14.4% and compared to 11.2% for the comparable period in 2019. Blexten continues to capture the market share of our number one competitor, cetirizine also known as Reactine. Our sales force is doing an excellent job of expanding the prescriber base for Blexten, and we expect ongoing year-over-year growth and market share gains in the prescription antihistamine market in the quarters to come. I would like to remind everyone that Blexten will enjoy market exclusivity in Canada through October 2024. Turning to our second key growth product. Cambia is an innovative prescription treatment for acute migraine. Cambia, which is the only prescription NSAID approved in Canada to treat acute migraine, acts fast and begins to work in as little as 15 minutes. Cambia Q1 2020 TRx increased 30% over Q1 2019. Cambia Q1 2020 TRx market share has increased to 4.7% compared to 4.0% in the comparable period in 2019. This is fantastic growth for a product that is now in its eighth year on the market. We anticipate continued prescription growth of Cambia consistent with historical trends. Cambia will also benefit from pat protection in Canada through mid 2026. With respect to our U.S. Vimovo business, I'll provide a brief recap on the current situation. A generic version of Vimovo did not launch in the U.S. during 2019. As a result, Nuvo Ireland received the US$7.5 million minimum annual royalty on the U.S. sales of Vimovo, which was recognized in our 2019 financial statements. During 2019, the U.S. the United States Court of Appeals for the Federal Circuit denied our en banc petition and determined that two of our patents, the 907 and the 285 patents related to Vimovo were invalid. We filed a petition to the U.S. Supreme Court to reconsider the Court of Appeals decision. However, this petition was denied. On March 4, 2020, Dr. Reddy's laboratories, or Dr. Reddy's, launched a generic version of Vimovo. This launch is at-risk, as Nuvo Ireland does own additional valid and enforceable patents, namely the 996 patent and the 920 patent that protect Vimovo. As a result of this at-risk launch, Nuvo Ireland and our U.S. partner will continue to consider all legal strategies and opportunities to protect this revenue stream as long as possible, including filing a monetary damages lawsuit against Dr. Reddy's for selling its generic version of Vimovo in contravention of our valid and outstanding patents in the United States. With the launch of the generic Vimovo by Dr. Reddy's, we are no longer entitled to our minimum annual royalty payment from our U.S. partner, which historically amounted to US$7.5 million a year. But we will continue to receive a 10% royalty on net sales, which is subject to a step-down provision once generic competition achieves a certain market share percentage. I remind everyone today that Nuvo's 2019 financial results include the benefit of this US$7.5 million royalty payment, while our financial results in 2020 and beyond will not benefit from this minimum royalty payment. The royalty we earned in Q1 of 2020 exceeded the quarterly minimum royalty we received in any quarter of 2019. And the prime reason for this was because our U.S. partner, Horizon Therapeutics, experienced a stronger-than-anticipated quarter for sales and the Dr. Reddy's generic version of Vimovo did not enter the market until March 5. In March, Nuvo Ireland received notice from Takeda Pharmaceuticals that Japan's health, labor and welfare had approved Cabpirin, commercialized in Japan under a non-exclusive license to Nuvo Ireland's Japanese patent for the Yosprala formulation, which also covers the Cabpirin formulation. The approval triggered a US$2 million milestone payment with a potential for second US$2 million milestone payment on May 31, 2022, provided the intellectual property remains valid and enforceable. Nuvo Ireland will also receive a single-digit royalty on net sales of Cabpirin in Japan until patent expiry on May 31, 2022. I I'll remind everyone that 50% of all proceeds related to the Yosprala IP are to be remitted back to the estate of POZEN. We anticipate, with the recent approvals of Pennsaid 2% in Switzerland and India, commercial launches will occur in these territories later this year. We will also see a commercial launch of results in Germany in time for this year's summer headlight season. Much like our Takeda partnership in Japan, Nuvo will earn royalty revenue from all of these partnerships. These commercial launches are also anticipated to have a positive impact on our production and service business segment. Our manufacturing facility in Varennes, Québec, will be producing and supplying the finished Pennsaid 2% product for Switzerland and India and is also prepared to manufacture Resultz finished product for the U.S. market. Manufacturing for our Resultz business in Europe is handled by our European contract manufacturing partner. Nuvo earns revenue on the supply of finished product to our partners for Pennsaid 2% and Resultz. I'll now pass this on to Kelly Demerino, our Interim Chief Financial Officer, who will take you through our financial results for the year ended December 31, 2019, and the first quarter of 2020.
Kelly Demerino: Thanks, Jesse. Good morning, everyone. Today's presentation includes reference to certain financial measures that do not have a standardized meaning under IFRS. These measures include adjusted total revenue and adjusted EBITDA. Nuvo believes that shareholders, investment analysts and other readers find such measures helpful in understanding Nuvo's financial performance. For a description of how Nuvo defines these non-IFRS financial measures as well as the reconciliation of these measures, please refer to slides 45 and 46 of this presentation, which will be posted on the Nuvo website as well as Nuvo's management discussion and analysis filed on SEDAR. Adjusted total revenue increased to $74.7 million for the year ended December 31, compared to $20.5 million for the year ended December 31, 2018. As a result of the Aralez transaction, the company now recognizes three operating segments: the Commercial Business, the Production and Service Business and the Licensing and Royalty Business. The $54.3 million increase in adjusted total revenue in the current year was primarily due to the addition of revenue related to the Aralez transaction, which provided an incremental $35.6 million of total revenue contributed from the Commercial Business segment and $18.8 million due to earned Vimovo royalties. Adjusted EBITDA increased to $27.2 million for the year ended December 31, 2019, compared to negative $3.1 million for the comparative year ended December 31, 2018. The increase in adjusted EBITDA for the current year was primarily due to the increase in gross profit of $36.7 million, less inventory step-up expense of $5 million, as a result of the Aralez transaction, offset by an increase in general and administrative expenses of $1.6 million and an increase in sales and marketing expenses of $9.8 million. Gross profit on total revenue was $43.1 million or 62% for the year ended December 31, 2019, compared to a gross profit of $11.4 million, or 57%, for the comparative year. The increase in gross profit for the current year was, primarily due to an increase in gross margin on product sales and an increase in license revenue as a result of the Aralez transaction. Now for the quarterly results. Adjusted total revenue increased $18.9 million for the three months ended March 31, 2020, compared to $17.1 million for the three months ended March 31, 2019. The $1.8 million increase in adjusted total revenue in the current quarter was primarily due to an increase of $3.8 million at revenue contributed from the Commercial Business segment and an increase of $0.4 million from the Licensing and Royalty segment, partially offset by a $2.5 million decrease in the Production and Service Business segment. Adjusted EBITDA increased to $8 million for the three months ended March 31, 2020, compared to $5.2 million for the three months ended March 31, 2019. The increase in adjusted EBITDA for the current quarter was primarily due to the decrease of $1.8 million in general and administrative expenses and sales and marketing expenses, primarily as a result of the June 2019 restructuring. Also contributing to the increase in adjusted EBITDA was the increase in gross profit of $1 million, net of revenue recognized upon recognition of contract assets, amounts billed to customers for existing contract assets and inventory step up expenses. Gross profit on total revenue was $18.9 million or 77% for the three months ended March 31, 2020, and compared to a gross profit of $9 million or 62% for the three months ended March 31, 2019. The increase in gross profit for the current quarter was primarily due to an increase in gross margin on product sales and an increase in license revenue. At March 31, 2020, the company had cash on hand of $16.3 million. In January 2020, the company repaid the outstanding balance of its bridge loan, a component of the Deerfield financing, which carried a coupon interest rate of 12.5%. The company's remaining loans, the US$54.8 million amortization loans and the US$52.5 million convertible loans, each carry a coupon interest rate of 3.5%. Nuvo will make regular repayments towards its amortization loan in 2020 in accordance with the Deerfield Financing agreement and associated amendment. Since January 1, 2020, the company has repaid US$8.7 million of debt. In our financial statements, we are required to report our amortization and convertible loan values as well as the interest payable in accordance with IFRS standards. The accounting treatment of these loans and interest amounts, which remain outstanding and payable can sometimes be confusing and result in different values than the actual cash value of these loans. This slide provides a reconciliation between the IFRS accounting value, under the amortized cost method of our outstanding debt compared to the actual cash value of the debt. As of May 4, 2020, the cash value, which represents the remaining principal payments of the amortization loan, and convertible loan, was $77.7 million and $74.5 million, respectively, or US$54.8 million and US$52.5 million As of May 4, 2020, year-to-date, the company has repaid the outstanding balance of the bridge loan in the amount of $4.5 million and paid $7 million towards the amortization loan or US$3.5 million and US$ 5.2 million, respectively. In the past 12 months, a total of $14.6 million or U.S. 11.5 million of indebtedness was repaid. As at May 4, 2020, the company had 11.4 million shares outstanding. Attached to the company's amortization loan are 25.6 million warrants issued to Deerfield at a CAD 3.53 strike price. The company's convertible loan may be converted into common shares of the company at Deerfield's option at US$2.70 per share conversion. The company's amortization and convertible loans mature and outstanding warrants expire on December 31, 2024. Jesse will now continue with the upcoming milestones and investment highlights.
Jesse Ledger: Thanks, Kelly. During the second quarter, we anticipate achievement of a number of milestones. As I discussed earlier in my presentation, we will receive the US$2 million milestone payment as part of the Takeda license agreement by May 29. We anticipate that AGES, the Austrian Health Authority will complete their review of the Pennsaid 2% registration dossier. If the dossier is approved, we anticipate commercial launches of Pennsaid 2% in a number of select EU markets in 2021. Preparations are now underway for the commercial launch of Resultz in Germany through our commercial partner, Heumann. Germany is the largest head lice market in Europe and will be the largest market we have launched Resultz in to-date. Our regulatory team is working on the Health Canada submission for pediatric versions of Blexten. This includes both an oral syrup as well as an orally disintegrating rapid dissolve tablet formulation. If the dossier is accepted for review, we anticipate the review decision and subsequent launch in Canada in 2021. Finally, during Q2, we anticipate a review decision by Health Canada for the new formulation of NeoVisc. If approved, we plan to launch NeoVisc in Canada in the third quarter. Also in the third quarter, we expect to launch Suvexx, which received Health Canada approval in February this year. Finishing off the year, our licensing partner, Gebro Pharma, anticipates launching Pennsaid 2% in Switzerland. Of course, throughout all of this activity, we continue to review and evaluate new business development opportunities to enhance our product pipeline in Canada and to expand our Licensing and Manufacturing Business internationally. Reflecting back on how our business has evolved since we closed the Aralez transaction at the end of 2018, it is clear we have successfully executed on our plans to diversify our business with multiple growing and sustainable revenue streams. With over 20 marketed products generating revenue globally, one only needs to look at our impressive year-over-year gains in adjusted total revenue and adjusted EBITDA to see the positive impact this transaction has had on our business. We will continue to grow our existing business organically through the efforts of our commercial sales and marketing team and also with the introduction of new products like Suvexx and NeoVisc One in Canada. We have operational infrastructure to support and grow our business, a profitable manufacturing operation with spare capacity to handle anticipated future growth of our results in Pennsaid 2% business internationally. And most importantly, we have the right people in place to manage and oversee the execution of our growth plans. Our business is profitable and generating free cash flow. We have a debt facility with an attractive 3.5% coupon rate and built-in repayment mechanisms to naturally reduce our leverage over time. Overall, we are pleased with our financial results last year and in the first quarter of this year, and the achievement of the various corporate development milestones in 2019 and year-to-date. We are now pleased to answer questions that you may have with respect to the company, its financial statements and its operations during the year. We will take shareholder questions that have been entered on the web portal. If you haven't already done so, please type your questions in the box in the lower left corner, we will attempt to answer as many questions as time allows, but only questions that are relevant to the business of the corporation will be addressed. We will pause for a few minutes to compile the questions.
A - Jesse Ledger: Second question, what are the market opportunities and dynamics for Resultz in Germany and Pennsaid 2% in Switzerland? So for Resultz in Germany, Germany, as I mentioned in the presentation, is the largest head lice market in Europe, annual sales of head lice products in Germany is around €50 million annually. And so Heumann, our partner in Germany, has now received their launch quantities of finished product. They're in the final stages of prepping the market for prelaunch activities. And as I mentioned, we'll be -- they'll be launching the product shortly to take advantage of the summer and fall head lice season. So stay tuned for that. As far as Pennsaid 2% in Switzerland is concerned, the topical NSAID market or topical diclofenac market in Switzerland is worth about CHF 24 million, CHF 25 million annually. And this is also a market that has some of the highest pricing, unit pricing for topical NSAIDs in all of Europe with patient prices ranging anywhere from CHF 20 to CHF 35 a unit. So it's a pretty attractive market from a pricing standpoint. And so we'll be launching or Gebro, our partner in Switzerland, will be launching later this year. Again, we're in final logistical preparations for supplying finished product. And it looks to be a fairly small, but attractive opportunity for us as we've discussed in the past. The third question, I have here says, it seemed that COVID did not materially affect sales in Q1. Are you seeing any negative impact in Q2? And so I guess, the comment that I'll make here is we did see a positive impact of COVID on our sales in Q1, as we've described in our financial disclosure. We did -- there was -- during the month of March, there was enhanced or additional buying by wholesalers and pharmacies, which was widely documented in the media. There was a bit of a stock-up as pharmacies and wholesalers were worrying about the robustness of supply chains. And so we did experience a bit of an uptick in sales during that quarter. What we anticipate in the second quarter would be that, obviously, the wholesalers and pharmacies are going to need to work through that inventory. We estimate that there is anywhere from one week to a month of additional inventory that may have been purchased in the first quarter. And that, that will need to be worked through during the second quarter. So as far as what that means to our business over the course of the year, I've mentioned this many, many times that our business can't really be measured on a comparison of quarter-over-quarter growth in terms of sequential quarters, but we need to look at things on a year-over-year basis. And so -- and even at that, in this -- it makes sense for us to take a look at our first-half business expectations, and I would say, our anticipation is that the first half will look the way that we thought it should, in totality, in terms of the aggregate sales that we're seeing, is just the timing of those revenues has been impacted by COVID-19 and the additional purchases made in Q1 and subsequent reduction in purchases in Q2, but it is something that we're obviously monitoring very closely. We're looking at the various data points that are available to us, and we'll continue to monitor and update as appropriate over the course of the year. And so the last question, I have, says, can you please provide a little more context on the Suvexx opportunity? And so yes, I'd be happy to do that. As we mentioned, we got Suvexx approved in almost exactly a year from the date that we've filed it with Health Canada, a phenomenal time line for getting a new drug approved. Right now, the team is working on launch preparation. So getting launch quantities in-house, getting our commercial sales force and marketing teams out there interacting with physicians and prepping the market for this launch. And ultimately, this is a product that's being entered into the $130 million annual acute migraine space in Canada. So it's the same market that the Cambia is targeted towards and that we focus on and so the obvious question would be, well, won't Suvexx and Cambia kind of getting the way of each other. And in actual fact, they won't. Cambia is indicated for mild-to-moderate acute migraine, whereas Suvexx is indicated for moderate-to-severe acute migraine. And so there's a very nice synergistic effect between the two products in the portfolio.  We can go to neurologists, headache specialists, primary care physicians, and say listen, we've got a treatment option for all of your acute migraine sufferers, so, everyone from the more mild-to-moderate as well as the moderate-to-severe. So there will be a nice synergistic effect there. The other thing that's really great about these two products in our portfolio. Cambia is listed as a first-line treatment option in the Canadian headache treatment guidelines. And then Suvexx is listed as a second-line treatment option, where the combination of a triptan, in this case, sumatriptan and an NSAID, in this case, naproxen, which are the two components of Suvexx, is listed as a second-line treatment option for moderate-to-severe patients, so really, really nice group of products. The other thing that's worth noting is we're already calling on these physicians. We already have relationships with the key neurologists, migraine specialists and primary care physicians across the country that treat migrainers. And so, as we launch Suvexx, we're able to leverage those relationships. And remember, Cambia is into its eighth year on the market, and many of the people on our commercial team have been with the company since Cambia was launched eight years ago. And so those are long-term relationships, and those physician relationships and health care provider relationships are very positive. Those individuals are very excited about the prospect for Suvexx and so ultimately, all of that to say the cost to launch Suvexx into a space that we're already present is significantly less than if we were to launch a brand new product and say, ophthalmology or some other therapeutic areas that we're not currently present. So we're really looking forward to this launch in the third quarter. And of course, we'll continue to update everyone on any developments, as they become available.
Jesse Ledger: So that ends the questions. Thank you, everyone for submitting those. If any, as usual, of course, if any other questions emerge, please feel free to follow-up with us after the meeting, you can reach us through the IR or Investor Relations, contact information on Nuvo website. And so with that, I'd like to thank everyone for attending this year's virtual meeting and also thank you for your support of Nuvo. We look forward to seeing you next year.
Operator: Ladies and gentlemen, this concludes your call. You may now disconnect.